Operator: Good day, ladies and gentlemen and welcome to the Ally Financial Q1 2016 earnings conference call. At this time, all participants are in a listen-only mode. [Operator Instructions]. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, today's call may be recorded. I would now like to introduce your host for today's conference, Mr. Michael Brown, Executive Director of Investor Relations. Sir, please go ahead.
Michael Brown: Thanks operator and thank you everyone for joining us as we review Ally Financial's first quarter 2016 results. You can find the presentation we will reference during the call on the Investor Relations section of our website, ally.com. I would like to direct your attention to the second slide of today's presentation regarding forward-looking statements and risk factors. The contents of our conference call will be governed by this language. This morning, our CEO, Jeff Brown and our CFO, Chris Halmy will cover the first quarter results. We will also have some time set aside for Q&A at the end. We have with us Diane Morais, CEO and President of Ally Bank to help answering your questions as well. Now I would like to turn the call over to Jeff Brown.
Jeff Brown: Great. Thanks Michael. Good morning, everyone. We appreciate you joining us today. I am pleased to report it's been a solid start to the year. Performance was strong in the first quarter and our financial targets remain on track. We also took several meaningful steps that will drive enhanced future performance. Let me start with the financial highlights. Net income was $250 million for the quarter. Adjusted EPS was $0.52. Core return on tangible common equity was 9.8%, up about 70 basis points from first quarter 2015. And adjusted tangible book value per share also increased $0.80 quarter-over-quarter and $1.60 year-over-year. Our commitment remains to expand shareholder value and consider all options that will ensure maximization over time. As we get into the details you will understand those actions are continuous in the way we operate the company. We expect value will be unleashed as we continue to deliver quality results. Within our auto finance franchise, originations were healthy, but more importantly our risk adjusted yield increased 52 basis points versus last year. As discussed at Investor Day, we are prioritizing at expanding profitability not targeting specific origination levels and you will see that came through our metrics this quarter. We are committed to using capital efficiently, generating business that drivers the right returns while also preserving our leading position in the marketplace. We continue to maintain robust credit discipline. The aggregate net loss rate was up slightly to 64 basis points in the quarter and fully in line with expectations. Nonprime originations were 12.6%. Nonprime, in particular, is a space you have to be constantly focused on smart risk allocation and only book assets when you can generate the appropriate economics. As we sought to expand margins during the quarter by raising pricing, we simply originated less nonprime volume and we are completely fine with that. But generally, we feel good originating in this range and we continue to focus on the higher end of nonprime contracts. Overall application flow was the strongest in the history of the company. So we are able to book the kind of business that fits within our holistic strategy. Our approval rates and even book-to-look rates declined this quarter as we are being even more selective on what comes to the balance sheet. The deposit business continues to surge in growth of both customers and balances. We surpassed $70 billion in total deposits in the first quarter, which is strategically important to us as we normalize our bank funding. We feel very good about the Ally Bank brand and the potential to build on these positive trends in the coming months. On the regulatory front, we are pleased Ally Bank became a state member bank and we now have the Federal Reserve as our primary federal regulator. This was another step in our efforts to normalize the company and achieve a regulatory structure that is more aligned with the company we are today. Our CCAR plan was submitted earlier this month and as we committed to you Ally have requested the initiation of a common dividend and share repurchase program for 2016. These will obviously be major milestones for our company. Overall business fundamentals are strong. We feel comfortable with the trends we are seeing, but we will adapt and adjust if needed, like we have always done. Now turning to slide number four, I want to reinforce our strategic focus for strengthening our financial profile as well as positioning our company for long-term success. First, let me touch on the financial profile. Auto finance is still the core of what we do. And the type of business we do at Ally is designed to provide attractive risk-adjusted returns through market cycles. We have engaged in thoughtful growth that prioritizes returns as well as maintaining the strong customer relationships that have been a part of our success for years. Optimizing capital continues to be top of mind, day in and day out. Now let me shift to EPS growth and the key drivers. First, earlier this month we announced the redemption of the Series A Preferred. There will be no more preferred dividends in the capital stack. Next is continuing down the path to achieve a more normalized regulatory environment. Becoming a state member bank was important and we are now in a position to work towards additional steps such as greater efficiencies between the parent and banking subsidiary and more normalized bank capital requirements. These are fairly unique and sizable opportunities for Ally shareholders. We expect to see additional EPS growth as operating leverage continues to improve and as we diversify our product offerings and create new revenue streams. We have also not steered away from making smart investments mainly in technology that will make the organization more efficient over time. And we expect to be able to use share repurchases as an important tool for driving shareholder returns and overall capital allocation. We also know that to build long-term value in the stock, we need to continue to strengthen and enhance our franchises. Let me emphasize by saying we believe we are already in a position of strength and an enviable spot in digital financial services. So our mission is to build on our core competencies, respond to the needs of our loyal and growing customer base, diversify our revenue streams and higher ROE businesses, but to level-set, let me explain our philosophy on diversification. We start with the views and feedback from our customers and with a realistic perspective on the ability to generate quality returns and balance within our Board approved risk appetite. As we have explored a variety of businesses, these have served as the governing principles. So today, whether it's investor driven, perhaps fears of auto sales being at the peak or auto credit being to benign or whether it's simply a perception of too much concentration risk in one primary sector of the U.S. economy or even whether it's environmental factors, Uber impacting car sales or dealer flows, emerging technologies, et cetera, we know the indirect auto financing model is ever-changing and may not provide the same abilities to grow 5 to 20 years from now. We simply don't wait. Our job is to ensure the company will thrive and deliver high quality returns for our shareholders over a longer horizon. Modest and smart diversification delivers on that mandate. But to be overly clear, we are committed to auto finance and know there are still incremental opportunities in the emerging digital areas. Technology is playing a greater role in the sector and consumer preferences are shaping the way vehicles are purchased, sold and financed. Ally is playing a leading role in that evolution. Earlier this month, we announced that Ally would acquire TradeKing and add online brokerage and digital wealth management to our product offerings. Our provide a deep dive on that in a moment, but we know this is a perfect fit for our customer base and franchise and early feedback has been overwhelmingly favorable from our customers. As you know, we also announced that we would be launching a credit card in the second quarter and higher quality mortgage offerings later in the year. The addition of these products speaks to the ongoing feedback we hear from our existing customers as they seek additional ways to do business with Ally. These are also products that we can offer in a compelling way with a digital and differentiated experience that our brand is known for. And lastly, we expect to continue to grow our corporate finance business which has generated strong returns and recently expanded its footprint in the technology sector. Overall, we know these initiatives will significantly strengthen our company over time by reinforcing strong customer relationships, normalizing our funding profile, diversifying revenues and expanding ROE, again all with a focus of driving long-term shareholder value. Now let's talk about the TradeKing acquisition on slide number five. We know Ally can be the premier digital financial services company and a natural step in that journey is the addition of online brokerage and wealth management. We know that the investment products at TradeKing and the savings products at Ally's are a powerful combination for customers and we see significant upside. And here are a few reasons why. 50% of our customers have said they would consider a digital wealth management solution. These customers have a combined network of about $2.4 trillion. About a quarter of Ally Bank customers have a net worth of over $1 million. We know there is significant potential within our existing customer base to add wealth management solutions to their Ally portfolio of products. And when you look at the industry overall, there is also a compelling case for adding digital wealth management. This is a growing segment in the market and as digitally savvy customers including millennials accumulate more wealth they will be looking for additional services. The digital wealth management market is expected to expand to 7 trillion by 2020. Digital wealth management currently makes up about 25% of the market and is expected to continue to grow. And we know there is a strong synergy with Ally Bank customers and their willingness to adopt other digital financial services products. Ally is currently the only Top 25 bank without wealth management. Given the trends in this space and the characteristics of our customer base, we know this was a strategically beneficial step for the company to take at this time and we know it will create meaningful shareholder value. On the top of slide number six you can see highlights about TradeKing and as we previously announced we will acquire the company for about $275 million. We expect to close between the second or third quarter. Currently, TradeKing has about $4.5 billion in client assets. The business currently has over $1.1 billion of cash and sweep deposits and this is a critically important piece of the deal for us, getting meaningful cost of funds savings. Already today, the business generates over $25 million in annual trade commissions, which will add fee income to Ally's revenue stream. This transaction will lower our need for capital markets funding and will improve our return on equity over time. By year-end 2018, we estimate the brokerage and wealth management business to generate an annual pretax income run rate about $80 million with a long potential runway from there. This will have a meaningful impact to our financial profile and exceeded a very high hurdle rate for continued investment in the business. While relatively small, we see this is as a smart and strategic deal. A new source of deposit funding, new revenue streams, new customers and outstanding management team that will be joining ours in delivering a very solid return on capital. We would not have done this deal without those ingredients in our book. On slide number seven there is more granularity on our expectations. We expect to grow client assets from $4.5 billion today to a range of $12 billion to $16 billion by the end 2018. We project deposits to grow by about $1 billion per year and we are confident we can take the digital advisory business, which is in its infancy and grow that to about $3 billion. We know consumer preferences are on our side. The customer bases are poised for strong synergies and we are entering the industry at the right time. This deal also demonstrates the confidence we have and the strength of the Ally brand and the success we have achieved in growing our deposit products. In only seven years, we have created a franchise with well over a million customers, $70 billion in deposits and dozens of awards and accolades. We believe in the ability to advance that level of momentum in this new venture as well. And with that, let me turn it over to Chris.
Chris Halmy: Thanks JB. Let's turn to slide eight. We delivered another solid quarter with $419 million of core pretax income and $250 million of net income. Overall results were very good with excellent fundamentals in our businesses, which has us on track to achieve our financial targets. We did experience weather-related losses in the amount of $26 million for the quarter due to severe hailstorms in Texas during the last two weeks of March that cost us a few pennies per share this quarter. While we typically expect to incur elevated weather-related losses in the second quarter each year, hailstorms have come early and have been severe. Additionally, the flattening yield curve in the first quarter, which was driven by both an increase in LIBOR and a decrease in longer rates, was not with any bank desire to see to start the year. The change in interest rates did impact net financing revenue with some offset in other revenue as we sold some securities at a gain. While you don't see the investment portfolio mark in the income statement, the value of the investment portfolio improved, which can be seen reflected in the healthy increase in our tangible book value per share this quarter. Now looking at some of the line items. Net financing revenue increased over $100 million from last year due to higher earning assets and improved yields mostly on our retail auto portfolio. Other revenue of $380 million was up from last quarter due to investment gains but down from last year, due mostly to the sale of our TDR mortgage loans in the first quarter of 2015 that generated a gain of $65 million. So our total revenue was down slightly quarter-over-quarter, but up significantly year-over-year, especially when you exclude the TDR mortgage sale. On the credit side, losses performed in line with our expectations with a quarterly decrease in provision expense being driven by seasonality and the annual increase due to the growth in the retail loan portfolio and the higher coverage rate we have been discussing for several quarters. Total noninterest expense was $706 million, which we break out between controllable and non-controllable items. The biggest reason for the increase this quarter was driven by weather related losses. These results drove GAAP net income of $250 million and keep in mind that last year's results included the sale of our China JV, which generated $400 million gain in discontinued operations. Looking at key metrics. Our adjusted EPS for the quarter was $0.52, which was flat to prior quarter and prior year. Core ROTCE was also flat on a quarterly basis at 9.8%, but up significantly from the prior year and our adjusted efficiency ratio was 45%, which was within our targeted range. Turning to slide nine. Auto finance had another solid quarter with pretax income of $337 million, up 10% year-over-year, reflecting the strong underlying performance of our primary business. Year-over-year strong net financing revenue was partially offset by the projected increase in retail charge-offs while expenses remained flat. Insurance reported pretax income of $50 million. Unfavorability versus the prior year is primarily driven by the higher-than-expected weather losses. As we mentioned the Investor Day, you can see we started to break out the mortgage finance and corporate finance segments for more transparency around how we run our business and our focus on growth initiatives. Mortgage pretax income of $2 million was flat year-over-year as we expect this segment to grow in both assets and income from here. Corporate finance earned $11 million this quarter and assets continue to grow. And in the corporate and other segment, we generated $19 million of pretax income. The large decrease year-over-year is associated with the gain on sale of TDR mortgage loans last year. On slide 10, we show the detail behind our earning assets and net interest margin. Overall, NIM was up 16 basis points year-over-year but down five basis points quarter-over-quarter. Our asset yields have continued to rise and in particular you see retail auto loans of five basis points on higher balances. We continue to focus on originating auto loans that offer greater risk-adjusted return and profitability and we expect that dynamic to continue throughout the year. The balance sheet is generating about $1 billion per quarter in net interest income. On a year-over-year basis, funding cost declined but we did see an increase in the quarterly cost of funds. So let me address that. In order to refinance the Series G Preferreds in the fourth quarter, we issued unsecured debt that was outstanding for all of the first quarter. In addition, as LIBOR increased with the rise in fed funds, the cost of funds associated with our secured debt and our unsecured debt that we swapped the floating has also increased. We also continue to see an increase in deposit balances. As you can see here, deposit rates have been pretty stable. So the rise in fed funds has not affected our deposit rate offering. With that, let me turn to slide 11. We are very pleased with the strong and consistent deposit growth with balances up $3.5 billion quarter-over-quarter and almost $8.5 billion year-over-year. We continue to see growth from existing depositors adding balances and products to their Ally relationship which represented about a third of our growth for the quarter. We also continue to grow new customers at a very healthy clip of over 50,000 this quarter, which contributed to about two-thirds of our deposit growth. And about half of these new customers are in the pretty attractive millennial demographic. We have also seen our brand awareness rise in the first quarter to 52%, which should propel further customer growth throughout the year. On slide 12, let we make a couple of comments about our capital markets funding and liquidity position. There is no doubt that the markets have been choppy since the end of last year, which has created some tiering among issuers. However, the ABS market has been very receptive to Ally securitizations as you can see from the spreads we been paying on recent transactions. In the first quarter, we completed over $5 billion in new secured funding and renewed our large syndicated credit facility. This is the benefit of having a mature and credible securitization program. As a regulated financial holding company, we hold significant liquidity on hand to mitigate any risk through market disruptions. To be blunt, we hold enough liquidity to fund all planned originations for about three years without the need to issue unsecured debt or term securitizations in the case of a market disruption. This gives us the ability to pick our spots in the markets and avoid periods of turmoil just like we did at the end of last year. As you can also see in the chart on the bottom right, we have very manageable unsecured debt maturities over the next few years. So our liquidity positions very robust. On slide 13, let me tie this all together and talk about the expected evolution of our funding profile. We have made tremendous progress since 2013 getting the cost of funds down and expanding net interest margin. The short term story is that NIM is going to be fairly stable as we have issued some debt to take out preferreds, which is a great bottomline trade. But long-term, there is still tremendous earnings potential with getting the unsecured debt footprint down and funding more assets in the bank with deposits. Today our $70 billion in deposits represents just over half of our funding and we have over 70% of our assets in our bank subsidiary. Our expectation is that we will continue to grow deposits $8 billion to $10 billion per year, so that our overall percentage of deposit funding will continue to rise. In addition, we expect that the percentage of assets booked at Ally Bank will also continue to increase allowing us the benefit of using those deposits. As deposits grow, our reliance on capital markets will decrease. Over time, we will issue less unsecured debt, less securitizations and decrease our credit facilities. In fact, we have about $11 billion of unsecured debt rolling off naturally over the next four years and we don't expect to refinance any of it. And the larger deposit base over time will also make us less sensitive to rising interest rates and will boost net interest margin and overall profitability. So this is that dynamic that will drive long-term EPS growth outside of everything we are accomplishing operationally and strategically and this is unique Ally. On slide 14, capital ratios increased this quarter from consistent earnings and further utilization of our DTA. Our fully phased-in Basel III Common Equity Tier 1 ratio was 9.2% for the quarter, while our total capital ratio was 13%. Adjusted tangible book value per share increased by almost $0.80 to $25.40. The sizable increase was driven by earnings as well as a positive mark this quarter on our investment portfolio that benefited from the move in interest rates. For perspective, the goodwill and intangibles generated from the TradeKing investment will deduct about $0.60 from our adjusted tangible book value per share or about one quarter's worth of earnings. The bottom left chart shows the disallowed DTA, which has come down by about $300 million over the past year to $826 million and I expect that rate of decline to continue as we expand earnings. Moving to slide 15 on asset quality. Consolidated charge-offs for the quarter were 64 basis points, down eight basis points quarter-over-quarter and up a modest three basis points year-over-year. Focusing on the retail auto loan portfolio, total charge-offs for the quarter were 108 basis points, which was down seasonally quarter-over-quarter but up year-over-year, in line with previous guidance. And we continue to expect a modest increase for the next couple of years given the mix of optimization. But as I mentioned earlier, that is more than offset by better yields we are experiencing. In the bottom left, our 30 plus day delinquency rate declined to 2.2%, also driven by seasonality. As a reminder, the first quarter is typically the lowest point of the year for delinquencies, so you should expect this number to tick up on a quarterly basis from here. In the top right, we show a detailed provision expense trend. A couple of things to point out here. The quarter-over-quarter decrease was primarily driven by seasonally lower retail auto charge-offs. The year-over-year increase was driven by a growing retail auto loan portfolio as well as commercial auto, mortgage and corporate finance allowance releases in the first quarter of 2015 that did not repeat. You will also notice that our retail auto loan coverage rate ticked up to 1.35% in the quarter. This was primarily driven by the sale of around $2.6 billion of higher quality auto loans in the quarter as well as some continued mix normalization of the portfolio. All the fundamentals of the business continue to be in line with what we discussed at our Investor Day. We continue to prudently manage the risk in our portfolio. Performance continues to be in line with expectations. We have modestly shifted the profile of the loan portfolio but much of that is starting to normalize as origination mix has largely stabilized. And we are getting more than compensated for the modest increase in risk through additional yield capture. On slide 16. Auto finance had a very good quarter, as we reported $337 million of pretax income. Total revenue was up 13% year-over-year but no increase to noninterest expense, which drove a 10% increase in pretax earnings. The auto business is demonstrating its ability to grow revenue organically through its strong dealer relationships while becoming more productive on the cost front resulting in strong operating leverage. Earning assets are up slightly year-over-year but down quarter-over-quarter, primarily driven by the $2.6 billion of loan sales and the declining lease portfolio. Quarterly originations were solid at $9 billion driven by several factors. We experienced record used volume for the quarter. We grew non-subvented originations 10% year-over-year and growth channel originations were up 23% on an annualized basis. And we were able to accomplish this while also improving the profitability of the originations. Looking at the chart in the bottom right, you can see we increased the yield on our originations by 59 basis points year-over-year to 5.85%, but more importantly we were able to do this by only taking seven basis points more credit risk and decreasing the amount of nonprime originations. We accomplished this by using price to originate a little less super prime and a little less subprime as we saw the best opportunity in the middle of the credit spectrum. As we laid out during our Investor Day in February, we are focused on risk-adjusted profitability of our originations not market share or volume to make sure we are optimizing the use of our capital efficiently. A bit more on originations on slide 17. You can see our channel mix in the top left where the growth channel continues to show great momentum. And in the top right, you can see the growth in the used business is now on par with new business. The bottom two charts summarize the balance sheet. On the consumer side, we continued to see modest year-over-year growth given the asset sales. And on the commercial side, we did experience slightly higher average balances than seasonally expected. On slide 18, insurance reported pretax income of $50 million. The main driver of the variance, both year-over-year and quarter-over-quarter, was the $26 million of weather-related losses we experienced in late March. Written premiums totaled $222 million, flat to last quarter, but down year-over-year. As we mentioned last quarter, we shut down our smaller agent channel to focus on the core platform, so you are seeing that come through the numbers on a year-over-year basis. We also continued to make good progress on our growth channel initiative with written premiums up 51% year-over-year, which is more than offsetting any attrition we see in the GM channel. On slide 19, we show results for the mortgage finance segment. We split out our ongoing mortgage business and moved the legacy portfolio, which included loans originated prior to 2009 to the corporate and other segment. While this segment is relatively nominal from an earnings perspective this quarter, we expect that as our assets grow this segment will produce meaningful operating leverage and income contribution. The mortgage loan portfolio experienced net growth of $3.6 billion year-over-year and $1 billion quarter-over-quarter, driven by bulk purchase activity of high-quality jumbo loans. The portfolio currently has an LTV of around 60% and an average FICO score of 770. And as we have discussed, we expect to start adding direct originations in this portfolio starting in the fourth quarter. Slide 20 gives the results from our other new segment, corporate finance. These results were previously included in the corporate and other segment. Corporate finance reported pretax income of $11 million. We are seeing positive net financing revenue trends, driven by asset growth, which was up almost $900 million year-over-year. Provision was flat quarter-over-quarter, but up $11 million year-over-year, driven by loan growth and recoveries last year that did not repeat. We also do not have any direct lending exposure to the oil and gas industry in this portfolio. Corporate finance is another growth area and we expect upside as we leverage our brand and expertise to continue growing this higher ROE business. So overall, we are very pleased with the fundamental results in our businesses and delivered yet another solid quarterly performance. With that turn, I will back to JB to wrap up.
Jeff Brown: All right. Thanks, Chris. Let me just quickly wrap up on slide number 21. We had very strong operational performance in the quarter and one of the biggest takeaways that we want you to have is really the improved profitability on new auto originations. That certainly was not by accident but by focus. We also maintained a disciplined credit philosophy, continue to grow deposits and customers and obviously redeeming the remaining Series A Preferred stock was another important step. Driving long-term shareholder value is a top of importance to me, the Board of Directors and the entire management team. Our capital plan reflects the importance we are placing on returning capital to shareholders. We are working on improve profitability and obviously, the focus on continuing to migrate assets into the bank for other normalization opportunities. We are our customer base, broadening our product offerings and part of that includes expanding into businesses with higher returns and a more diversified revenue stream. And over time, we know we will have less need for capital markets funding, which represents a really unique opportunity for Ally. So we are pleased with the start the year. We have a clear path to achieve our goals in 2016 and beyond and we remain optimistic about the potential for Ally as a great company and a great investment. And with that, Michael, I will hand it back to you for Q&A.
Michael Brown: Great. Thanks JB. As we move into Q&A, we do request that you please limit yourself to one question plus one follow-up. If you have additional follow-up questions after the Q&A session, the Investor Relations team will be available. Operator, if could please start the Q&A.
Operator: [Operator Instructions]. Our first question comes to the line of Moshe Orenbuch with Credit Suisse. Your line is now open.
Moshe Orenbuch: Thanks so much. I wanted to talk a little bit about the outlook for improvement in the margin. You talked about the $11 billion in capital markets funding that will be rolling off plus some more general comments about the greater integration with respect to the bank. Could you just maybe give us a little more detail on to that as to how we could expect that to help in terms the cost of funds for the company over the course of the next 12 to 18 months?
Chris Halmy: Yes. Unfortunately we do not have a lot of unsecured debt rolling off this year. So when we look at the cost of funds opportunities this year, they are somewhat muted, which is why I am guiding a bit to have somewhat of a stable NIM which I think I said in the last quarter as well. We think of the opportunity much more as a longer-term opportunity. So as that $11 billion really rolls off and like I said, it's going to be over the next four years, most of that will be refinanced with deposits as more assets roll into the bank. So we still have some regulatory restrictions over the assets that go into the bank. But we expect that over time they will be lifted. So I think of this much more as a long-term opportunity, but if you think about our unsecured debt yielding somewhere around 4.5% and deposits we put on around 1%, this is a real big opportunity for us in the long run. And as we think about our earnings per share growth potential over the next couple years, this will start to contribute to that, but even longer-term, we would expect even more momentum in EPS growth.
Moshe Orenbuch: Great. And just related to that, the pace of the sale of super prime assets. How should we think about that?
Chris Halmy: Yes. I would not expect the pace to be as high as it was this quarter. We had some opportunities this quarter that we took advantage of and we sold about to $2.5 billion of assets. We really look to sell somewhere around $4 billion a year in that. If there are opportunities to sell and take advantage of good bids in the market, we will do that. So that number can go up and down. The other thing I would point out, as we did originate a little less super prime this quarter, which was intentional and all of this really is geared towards just increasing the overall return on equity in the auto business and the overall company.
Moshe Orenbuch: Great. Thanks Chris.
Operator: Our next question comes from the line of Rick Shane with JPMorgan.
Rick Shane: Thanks guys for taking my question. I would like to talk a little bit about TradeKing and sort of the walk between the $25 million of revenues that they are generating today and the $80 million of pretax income that you are looking for in 2018. If you start with the daily average revenue trades and double that, that would suggest about $50 million of revenue. If you take the AUM to the number that you are talking about, somewhere between $3 billion and $4 billion, at 75 basis points that would suggest about $30 million of revenue. And then the deposits, I am assuming that a big chunk of the income here is going to be on funds transfer pricing. If you were to take $2.5 billion of deposits at 1%, that would be about $25 million of revenue. So when you total that all up, it's about $105 million to $110 million of revenue, which is basically tripling or quadrupling where you are now, which makes sense. But I am curious how that relates to that $80 million of pretax income? Is that a realistic margin?
Chris Halmy: Sure. So and I think you have t right, but let me make a couple of comments just about your math. When we look at the deposit synergies, it's really not 1%. I don't look at it versus the cost of where we are raising deposit today. I look at it as incremental deposits will allow us to take out market based funding particularly secured funding. So secured funding comes in a rate today of about 1.5%. And as you think about it over the next couple years, if you follow the forward curve, that obviously increases. So while we look at that $3 billion plus of deposits over time, the synergies there will be greater than you just mentioned on the 1%. So that's one of the drivers there. We also think that the daily average trading volume could more than double. So I know you mentioned double there but we think over time it could be more than that. And let me put it in a little bit of overall context. As we go out a few years, we think it's very reasonable that we can the triple revenue in this organization. They generate about $50 million today in overall revenue. That's with these and their deposit revenue. So we think that could be a triple and we don't think the cost will rise anywhere near that. We think there is great operating leverage in the business, which is somehow how we got to around the $80 million.
Rick Shane: Okay. Got it. That's helpful. I am confused by one other thing. When I look at the slides from this quarter for auto finance on the nonprime origination, you show last quarter 13.7% below 620. If I look at the slides from last quarter, it says that 12.6% of originations were below 620 and there is a similar differential between the third quarter numbers as well. Is there something [indiscernible] different?
Chris Halmy: Yes. What we did is we tried to focus this quarter just on retail originations. So we are just giving you the retail number. I think last quarter.
Jeff Brown: Ex-lease.
Chris Halmy: Yes. Without lease. Last time, we gave you all the retail, which is leased and retail loans.
Rick Shane: Okay. That's the differential. I saw that you picked up that language, retail quarterly originations.
Chris Halmy: Yes. As lease originations is becoming less and less, we wanted to focus you on retail.
Rick Shane: Got it. Thank you.
Operator: Our next question comes the line of Eric Beardsley of Goldman Sachs.
Eric Beardsley: Hi. Thank you. I just wanted to actually go into what you saw during the quarter that caused you to pull back on the subprime and raise pricing?
Jeff Brown: Yes. Eric, I wouldn't characterize it that way. I would characterize it like that we were looking to expand margins across the credit spectrum and we did that with price. As we did that, we saw less volume come in on the nonprime originations and less volume come in really on the super prime originations. So there was no credit concern in our mind. It was much more about making sure we get the appropriate risk-adjusted profitability and we start to really expand our margins. And because of that, we lost some business.
Eric Beardsley: Got it. And just on the reserve to loans, I guess you mentioned that it could be trending up a little bit more from here due to the mix shift. I guess, what's the right level to think about?
Jeff Brown: When I think in annualized loss rate, we think it could probably trend up another 10 to 15 basis points this year and our coverage rate is going up a little bit in lockstep with that. So I do think that the coverage rate can continue to tick up, particularly as we do less super prime, but not significantly.
Eric Beardsley: Got it. And then just really quickly, I guess, just the yield you show on that slide 16 that you were referencing, I guess how quickly should we see that bleed through to the total loan yields that you have on the books, just thinking about the duration of the assets being somewhere around two years. Is this something where we are going to get this more meaningfully at this level by year-end?
Jeff Brown: Yes. We are continuing to see that as we get into the second quarter, so we are continuing to look towards price. So I would expect you will see the yields continue to tick up and you are right, it's a two, two-and-half year asset, so it will take a couple years to fully flow through but I do think you will see improved yields on the retail portfolio from here.
Chris Halmy: And then obviously, Eric, this is Chris, it takes opportunity to trend the portfolio here and there. We have been doing that in the lowest yielding stocks. So I think that also has the effect of accelerating that yield dynamic as well.
Eric Beardsley: Got it. Great. Thank you.
Jeff Brown: Thanks.
Operator: Our next question comes from the line of Chris Donat with Sandler O'Neill,
Jeff Brown: Hi Chris.
Chris Donat: Good morning. Thanks for taking my questions. This one might be more for Diane. I am just curious with the $3.5 billion of retail deposit growth in the quarter. It's first full quarter since we have had a fed increase. Have there been any lessons either internally or in the competitive landscape around one single rate increase? Or is it really too soon to tell? But it does look like strong growth with a little bit of a rising rate.
Diane Morais: Thank you for the questions. And our response around what happened in the first fed move is virtually nothing. No one really moved rates in any kind of meaningful way and there is always day-by-day, competitor-by-competitor, basis point moves here and there. But we don't really expect a meaningful change until we get through the 1%, if that sounds right, which is going to take a few more tightenings. So we feel incredibly well positioned as we head into an eventual rising rate environment and we have got great sophisticated tools to inform our pricing and our strategy.
Chris Donat: Got it. And then the follow-up for me is sort of a related question on deposits, but also thinking about TradeKing. Do you feel any risk that as you grow assets under management at TradeKing that you might cannibalize some of your deposit growth? Or do you think that you will be able to grow TradeKing without really tapping into that, even though you are talking about some of the same customers?
Diane Morais: Right. We really believe it will largely be incremental growth. And we know that customers that have been in the Ally family today are moving money to other wealth management firms. And our hope is that, once we complete the integration, that money will stay within he Ally family and quite frankly there is tremendous synergy between both the Ally customer base and the TradeKing customer base. So we know that customers need both products and services and having a seamless integrated experience to save and invest in that bank-brokerage combination is going to powerful for the new company.
Chris Donat: Got it. thanks very much, Diane.
Diane Morais: Thank you.
Operator: Our next question comes from the line of Sanjay Sakhrani with KBW.
Sanjay Sakhrani: Thank you. So first question just on capital allocation. Is it fair to assume from an M&A perspective we are done and we are going to focus on return and funding for organic growth?
Jeff Brown: Yes. Sorry, it's JB. It's hard to say if you are ever really done. I think our focus is going to continue to be opportunistic. And any M&A scenario that we would look at would have to obviously cross a very high hurdle rate. Obviously we are talking about the $80 million on TradeKing. I think we project out of somewhere in the neighborhood of 20% IRR. So that's the type of hurdle rate that any type of deal would have to cross for us to consider. So for now, this was the right time for the TradeKing deal. Would we be opportunistic on other opportunities? Sure. I think that's what we are supposed to do, but nothing is imminent. Nothing's on the horizon. But obviously, I think we are paid to look at a lot of things and we do look a lot of things, day-in and day-out. But again, I think our primary focus is, anything we do would have to achieve a very strong return on shareholder capital and I think our leaning right now is, let's go ahead. Let's successfully close this. Let's integrate TradeKing. Obviously it could happen as early as this quarter before we really buy off anything additional.
Sanjay Sakhrani: Okay. And are there other areas that you are looking at? It sounded like TradeKing checked a box. But is there anything else?
Jeff Brown: Right now, Sanjay, nothing remotely of this size. Obviously within auto we continue to pay a lot of attention to emerging technologies, things that are driving more the digital front there. But nothing remotely close to this size is on the horizon today.
Sanjay Sakhrani: Okay. And just maybe one quick follow-up for Diane. Could you talk about your confidence in getting Ally Bank customers to transition to the wealth management? Maybe not specific, but just what kind of strategies you might use? You mentioned that your customers have other deposits elsewhere within wealth management platforms. Do we have any statistics on what your market share of a customer's deposits are? Thanks.
Diane Morais: So our customers, we have one interesting set that going back seven or eight years, over $9 billion have moved out of Ally to other wealth management firms. I would say we are highly confident in the fact that we have both customer bases are digitally savvy, self-directed and they have a breadth of needs. And I can just tell you qualitatively, we have gotten a number of customer comments since the announcement begging us to hurry up and they can't wait for the combined set of capabilities. So what our teams are focused on right now, Sanjay, is creating an integrated that when a customer comes to Ally, they see all the capabilities that we have at Ally today plus what TradeKing offers and there is marketing that hopefully you are familiar with that we have been doing at Ally under the Ally name, finding those customers at the points that at their decision phase, we are highly confident that we will be to tap into that money movement and create a great experience. So again, early days. We are three weeks since the announcement and we have got a lot of work in front of us. But we feel very confident that it's going to really resonate with that customer base.
Sanjay Sakhrani: Thank you.
Operator: Our next question comes from the line of Eric Wasserstrom with Guggenheim Securities.
Eric Wasserstrom: Thanks very much. Chris, if we could just go back to the NIM for a moment. And I am just looking on slide 10 at the long-term unsecured debt. Can you just remind us what the ALCO strategy is? And how we should think about the liability sensitivity going forward?
Chris Halmy: Yes. We are actually a bit less liability sensitive this quarter. Some of that has to do a little bit with the rate moving just the way we have positioned our investment security with some longer dated securities. Right now, I would call us fairly neutral. But over time as we build the deposit base and a lot of the long-term debt rolls off and we are not really in the markets as active, we will become much more asset sensitive, particularly if you believe that the pass-through rate will be somewhere closer to 50% on the deposits which is what we believe, the company will become more and more asset sensitive.
Eric Wasserstrom: Okay. And so as we just think about the cost of funds on a dollar basis going forward and I look at the page 12 and the upcoming debt maturity, should I basically be thinking about it as the entire dollar cost of those 2016 through 2019 maturities goes away and was replaced with the dollar cost of the deposits, assuming the $8 billion to $10 billion a year of incremental deposit growth?
Chris Halmy: Yes. That's the plan. Exactly.
Eric Wasserstrom: Okay. And plus then, layered on top of that, the forward curve expectations and some lesser degree of magnitude of the change that we saw in this period?
Chris Halmy: That's right. That's exactly right.
Eric Wasserstrom: Okay. Great. Thanks for the clarification.
Operator: Our next question comes from the line of Cheryl Pate with Morgan Stanley.
Cheryl Pate: Hi. Good morning. I just wanted to touch first on originations again. It sounds like successfully raising price across the credit spectrum and I am just wondering if you can maybe give us a bit of an update on the competitive environment. It seems like more of the pullback was on the superprime, subprime side. Is that still what you are seeing? Is that the expectations from here? And just wondering if you could give some sort of range around how you are thinking about volume, should the current environment persist?
Chris Halmy: Yes. From a competitive standpoint, we saw one competitor that was pretty aggressive in the superprime space, used some price and really captured a lot of market share, which is fine, which is probably one of the reasons we lost some market share, given we just lost on price. But I would say that both in the middle of the credit spectrum as well as in the in the upper nonprime or subprime that we play, we didn't really see much change in the competitive environment over the last quarter. So it's been pretty stable. As far as ongoing outlook on originations, we were excited to do $9 billion at the type of margins we did this quarter. The second quarter and third quarter are usually higher origination quarters than the first quarter. And then from a seasonality perspective, you come down in the fourth quarter. So we are fairly confident that we can run somewhere around this rate. But I would really want to put out a target, but we have said that somewhere in the mid to high-30s is really the right range as long as we are getting the right risk-adjusted margin of these loans.
Cheryl Pate: Okay. Thanks. And then just as a follow-up on the expense side. First quarter tends to have some seasonably higher expenses, but efficiency came in right in line with target. Just wondering if you can help us think about the forward look from here, given some technology investment spend but also some better seasonal trends.
Chris Halmy: Yes. And I just want to clarify something. We did have an uptick in expenses because of weather. But that is actually excluded because its insurance is excluded from our efficiency ratio. And then you are right that in the first quarter, you tend to have higher expenses related to things like payroll and we tend to see that come off as we move forward. My guidance to you is to continue to look at the efficiency ratio will stay somewhere in that mid-40s efficiency ratio, 44% 45% as you move forward to really get operating leverage. But there is not a lot of, what I would call, decrease in annualized expenses from here.
Cheryl Pate: Okay. Great. Thank you.
Operator: Our next question comes from the line of Kevin St. Pierre with Bernstein.
Kevin St. Pierre: Yes. Thanks for taking my call. Chris, maybe if you could remind us how, if at all, the TradeKing deal affected your CCAR ask? And if you are still comfortable with that total payout range that you have guided to in the 70%, 75% range?
Chris Halmy: Yes. At this point, I don't want to comment specifically on CCAR. JB obviously mentioned that we did request a dividend and a share buyback program. And I just kind of say that it's within the prior guidance we have given. The announced acquisition of TradeKing had really had no effect on our common distribution ask. The only place it really had an effect on was really TruPS. We had $500 million of TruPS that was approved in last year CCAR that we look to actually take out. We made a decision really looking at total capital ratios and Tier 1 capital ratios that it was prudent track to leave that planned redemption of TruPS in the stack at least for the time being. We will revisit that as we go to next year's CCAR. Right now, TruPS is a efficient instrument because it qualifies as Tier 1 capital and obviously the interest expense is tax-deductible. So we decided to leave that in the stack, but overall the guidance we have given on the common distribution remains.
Kevin St. Pierre: Great. Thanks. And maybe a bigger-picture question for JB. Another solid quarter of near 10% core ROTCE, yet the stock, which looks to be opening flattish, is trading at about a 30% discount to core tangible book. What do you think the market is missing? And what do you need to do to change that perception or whatever the market is missing?
Jeff Brown: Kevin, thanks for the question. Obviously, it drives all of us mad inside the company and at the Board level as well because we see how much value is here. I think it comes back to continuing to execute the path we are on and adjust if needed. And so we heard a lot of feedback from shareholders last quarter about making sure capital is front and center and we took some additional actions. Again hopefully you saw that in the first quarter on what we did on pricing, what we did in moving some lower returning assets off balance sheet. So part of that is just continuing to remind the world that we get it. Also emphasizing that credit is not nearly an issue like maybe is perceived in the markets today. I think that's one of the big questions what's on the minds of investors and obviously we spent a lot of time talking to investors and I think, frankly last year the fact that we were able to offset the lease dynamic, a lot of people questioned, did you do something stupid on credit and we try to remind the world, no, we haven't. We were very disciplined on what we underwrite last year. We feel very comfortable with that. And so part of this is, continuing to prove that credit really is not going to be an issue. I think Chris has provided some guidance on where we expect credit to normalize but we don't fear that there is some credit bubble or burst that's going to come at us there. And we still think the auto sales environment can be healthy. I think again we didn't come out with an origination target this year, but there were a lot of questions we were facing as we continue to be a growth company and I think we admit it. Look, we are generally comfortable with the size of the auto book and that's part of the reason why we are exploring other areas, namely in Ally Bank. We think it's a great opportunity, a great brand. There are some higher ROE businesses that are out there that we are looking to explore. So unfortunately I think it's going to take some time. I think CCAR will be important validation. The fed sees us on track as well. And it's another step in just getting the company normalized. So it's not easy turning the Titanic. It takes five, six years to get there, but I would say, we are in year four or five of that and in a little more time hopefully the world will get it. And as we continue to grow in book value, I would fully expect the stock to trade up and shorts on the stock I wouldn't want be it, because really believe in long-term upside.
Kevin St. Pierre: Great. Thank you.
Jeff Brown: Thanks.
Michael Brown: And operator, if we could, we are running out of time, but if we could squeeze one more in please, that would be great.
Operator: Our last question comes from the line of David Ho with Deutsche Bank.
David Ho: Hi. Thank you for squeezing me in. Most of my questions were obviously answered. But just real quickly back to the NIM. Even if you get the strong deposit growth, certainly from TradeKing, then again the ongoing Ally Bank franchise and obviously holding the line on rates and it seems like the leases coming in a little better than expected, would we expect a little bit of upside or a upward bias to the NIM?
Chris Halmy: Yes. The offset to that is, I do expect to see yields go up and particularly in the auto space. But we also have a desire to grow the mortgage portfolio and grow the investment portfolio, particularly in the second half of the year. As you grow some of those, what I would call capital efficient assets that come with lower yields, it affects the overall NIM. So let me be clear. We expect net interest margin to stay somewhat flat in the near-term, but we still expect to grow our net financing revenue as we grow some of those other lower yielding assets.
David Ho: Got it. Another one, just real quickly. What struck me was some of the digital opportunities within auto finance that you highlighted that seemed would make sense with the digital capabilities of Ally Bank and certainly TradeKing. Can you talk about real quickly what some of those would be?
Jeff Brown: David. Obviously we generate $35 billion to $40 billion of originations today through an indirect model, but I think as we think about technology and how consumers transact today, some direct to consumer offering may be important for the franchise over the long run. And that's not to imply that the dealer universe is going away or the indirect models going to change. But obviously as you think about how you probably transact with your bank, it's all done through your iPhone device, I would imagine. So we are looking at technologies there to be again maybe more direct with the end consumer. And then other initiatives, obviously we announced Beepi. I think that was the end of last year, early in first quarter of this year. That's another great partnership there. We have got other products that align more with the digital field. Used lease, for example. So we are looking at ways really to use technology as a weapons to continue to evolve the market forward. But I think through time, you can expect technology to drive a bigger force in really how auto sales are done even on the documentation front. It's not just researching the car, researching dealer inventories, I think the next step is how you get financed ahead, how you consider insurance products ahead. So we are spending a decent bit of money and time really making sure we are front and center in that space.
David Ho: That's helpful. Thank you.
Operator: Thanks a lot David.
Michael Brown: Okay. Great. That's all the time we have this morning. If you do have additional questions, please feel free to contact Investor Relations. Thanks for joining us this morning. Thanks, operator.